Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Home Capital Group's Fourth Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Jill MacRae, Investor Relations at Home Capital. Thank you. Please go ahead, madam.
Jill MacRae: Thank you, Cindy. Good morning, everyone, and thank you for joining us today. Our agenda for today’s investor presentation is as follows:  We'll begin the call with remarks from Yousry Bissada, Home’s CEO. Our CFO, Brad Kotush, will then review our financial performance, which will be followed by a question-and-answer period for participants. We have a number of members of our senior management team with us on the call to help answer your questions. On behalf of those speaking today, I note that this call may contain forward-looking statements and that actual results could differ materially from forecast, projections or conclusions in these statements. Please refer to our advisory on forward-looking statements on Slide 2 of the presentation. I would also remind listeners that Home uses non-GAAP financial measures to arrive at adjusted results, and that management will be referring to adjusted results as well as reported results in their remarks. Finally, a link to the slides accompanying this presentation is available in the Investor section of Home Capital's website. And now, I'd like to turn the call over to Yousry Bissada. 
Yousry Bissada: Thank you, Jill, and good morning, everyone. Thank you for joining us today for our fourth quarter and 2020 full year results conference call. Earlier today, we announced another quarter of solid operating results with earnings per share of $1.06 for the quarter and $3.33 for the full year. This represents strong growth over the same period in 2019.  Just as important as the results themselves are the conditions in which we achieved them. The onset of COVID-19 and ensuing lockdown created uncertainty throughout the industry. When the first stay-at-home order was issued, people were concerned about the consequences of declining GDP and rising unemployment on housing demand, and therefore, mortgage demand. However, the lockdown conditions had the opposite effect. Following a sharp decline in the spring, the demand for home ownership rebounded in the summer and grew stronger than ever through the rest of the year. And people ended up with a renewed focus on their living and working spaces. The persistence of low interest rates and remote working capabilities lift the higher home prices and sales volumes across the country. The global health crisis made 2020 an extraordinary year with wide ranging impacts on people, organizations and the Canadian economy, Home Capital was no exception. In fact, 2020 presented us with three unique challenges, all at the same time. The first was the challenge to shift our operations to a work-from-home model and protect our employees and business partners. The second was to create, launch and administer a loan deferral program that would offer meaningful support to our customers. And the third was to implement our Ignite Program, which had some critical milestones in 2020. I'll discuss each of these in turn. To begin with, the decision to work-from-home came about swiftly and without much advance notice. It was more than just a change in physical location. We had to find new ways of communicating with our employees, supporting them through this transition, providing them with systems and tools they needed to look after our customers, and above all, safeguarding their health and safety. At the end of the year, I can look back and say we accomplished all this and more.  Our move to remote working was done in a secure environment to protect our customers’ information. We created new online tools to work with solicitors, appraisers, title companies, and other suppliers to fund mortgages. We hired new people who have never set foot in our office and had only met their colleagues virtually. And those new team members were interviewed, hired, onboarded and trained in their new position in our sustainable risk culture, all while working remotely. I continue to be inspired by the resilience of our team members. At the same time, as I shift to remote working, we were given an opportunity by our industry partners and regulators to support the financial well-being of our customers by offering a deferral program. We moved quickly develop, launch, communicate and administer this program. And our people rose to this challenge as well.  Looking back, we can conclude that our referral program was a success, whether we measure our success by the number of people we helped, the number of calls we handled in our contact center, the number of loan payments we deferred or the percentage of our borrowers that returned to making their regular loan payments. We were able to allocate talent and capital to help people cope with the economic impacts of COVID-19. I'm proud that Home was able to help people stay in their homes when they most needed our support.  In 2020, we also had some key milestones in our Ignite Program. Many of our people had to devote significant time to setting up and testing new system and processes while executing their day-to-day functions. They rose to this challenge as well. We went live with a complete new platforming of our core banking system. This will eliminate many of the customizations from the old system. Our operations will be more flexible and agile, allowing for faster product introductions, and advanced analytics. There's a lot of excitement internally about the potential for this new platform. We continue to execute on our strategic objectives. We launched our Accelerator program, the A mortgage products, which was met with great acceptance despite our more conservative underwriting parameters associated with the pandemic.  We substantially reduced our exposure to our consumer retail through the disposal of our point-of-sale business and select HVAC loans. We implemented 10 robotic process automation programs to manage high volume tasks. We grew open deposits by successfully migrating to an online environment when our stores were closed. Through it all, we stayed focused on our relationship with our customers and business partners, finding new ways to support them and maintain quality service levels. Again, I'm proud to report what Home has done this again.  We were also recognized again as The Bank Lender of The Year at the 2020 Mortgage Awards of Excellence.  Finally, we turned to strong financial performance for the quarter and for the year. We grew originations in the residential and commercial market, delivered a record high net interest margin and completed $150 million substantial issuer bid in the first quarter. We ended the year with an industry-leading CET1 ratio. You should expect that we'll continue to be prudent with our capital in the future.  Looking ahead to 2021, the path towards reopening remains uncertain. We know that some restrictive measures are still necessary to contain the spread of COVID-19, but we can be encouraged by the growing availability of vaccines. We look forward to further economic improvement as the year progresses. We appreciate the continued confidence of our customers and broker partners and the perseverance of our employees through all the challenges of 2020. We may be physically apart, but in some ways, we're closer than ever. I'll now invite Brad to discuss our financial results.
Brad Kotush: Thank you, Yousry. And good morning, everyone. I will begin by turning to Slide 6, which highlights our financial performance for the fourth quarter. Net income of $55.3 million grew by approximately 49%, compared with Q4 2019. Net income per share was $1.06, an increase in 63% compared with Q4 2019. Return on equity was 13.4% for the quarter, an increase of 440 basis points over the same quarter last year. On Slide 7. Full year net income grew by 29% year-over-year to $176 million from $136 million. Fully diluted earnings per share increased by 45% to $3.33 per share. Adjusted earnings per share grew by 42% to $3.54 per share. Return on equity for the full year was 10.5%, an increase of 230 basis points over last year's 8.2%. Growth in net interest income and a release of credit provisions during the quarter were the most significant contributors to the increase in Q4 earnings per share compared with last year, as shown on Slide 8. Our net interest margin expanded by 24 basis points to 2.55% while the efficiency ratio dropped to 51.2% from 55.6% Provisions for credit losses swung from $4 million in Q4, 2019 to a release of $7.7 million in Q4 2020. For the full year, as shown on Slide 9, our 45% growth in earnings per share was driven by growth in net interest income, reduced shares outstanding offset by increased non-interest expenses, and a significant increase in provisions for credit losses during the year. Our net interest margin reached 2.46% for the full year, and we achieved a 49% efficiency ratio. The reduction in shares outstanding during the year resulted primarily from the repurchase of 4.4 million shares under a substantial issuer bid in January 2020 as well as repurchases under our normal course issuer bid, which totaled approximately 650,000 shares during 2020. We reported adjusted earnings per share for the year of $3.54, compared to adjusted earnings per share of $2.49 in 2019.  Turning to Slide 10, Home reported strong growth in residential originations, up 24% for the quarter and 18% for the year with a particular strength in our Accelerator mortgages. Slide 11 shows our commercial originations higher by 39% for the year, with virtually all of the growth in residential commercial. Earlier in the year, we made the prudent decision to pull back from a lot of location-driven segments of this market, including office buildings, land, retail and hospitality. As of year-end, commercial mortgages were 10.9% of total on balance sheet loans. Home also grew deposits through our Oaken direct-to-consumer channel as shown on Slide 12. Oaken now accounts for 29% of our total deposits compared with just under 25% one year ago, with 80% of that total in GICs. I would now like to spend some time discussing our loan book and our credit provisioning beginning on Slide 13. The average FICO score of our single-family borrowers is 727 and the average loan-to-value of our uninsured single-family mortgages is 59%, which demonstrates that we have a high quality customer base with high levels of equity in their homes. Slide 14 shows our credit provisions and write-offs quarterly, and for the full year. Provisions for credit losses totaled $34.1 million for 2020, an increase of 72% over 2019. These provisions change by taking into account various forward-looking macroeconomic assumptions and the weights assigned to these scenarios, as well as management's expectations of further -- future performance. Slide 15 shows provisions for the quarter and the full year by business segment. The primary contributor to provision for 2020 were the commercial portfolio, which continues to be impacted by uncertainty related to the impact of COVID-19, as well as the other consumer retail portfolio, where there was a significant provision for credit deterioration. One component of the other consumer retail portfolio was sold in the third quarter of 2020. This part of the portfolio contributed over $22 million to net write-offs of $25.7 million for the year. Expressed as a percentage net write-offs were 15 basis points of gross loans this year compared to 5 basis points the year before. In the fourth quarter, our credit provisioning resulted in a recovery of provision for credit losses of $7.7 million, reflecting an improvement in the forward-looking assumptions in our economic models, compared with inputs to those models used earlier in the year. Slide 16 shows the economic assumptions underlying our allowance for credit losses. In Q3 of 2020, our base assumption for housing prices was a decline of 8.74%, compared to a base case decline of 3.66% in Q4. The improvement in the HPI resulted in a reversal of provisions in our residential lending book in Q4. Our use of multiples scenarios, as shown on this slide, as $14.5 million to what the allowance would be using just the base case. Slide 17 gives a breakdown of our allowance by credit losses by segment. The total allowance of $71 million increased by $8.4 million over last year's figure with an increase of $15 million in our commercial portfolio, partially offset by a decline in the allowance attributable to our other consumer retail business, due to the write-offs discussed earlier. $53 million of that $71 million or 75% is attributable to loans classified as either Stage 1 or Stage 2, which is still considered performing under IFRS. Our allowance on performing loans will continue to fluctuate as new estimates become available off the future impact of COVID-19 on the economy. With our prudent underwriting standards and the shorter contractual terms to maturity of most of our loans, we consider our loan portfolio to be well provisioned. Net non-performing loans on Slide 18 are at 57 basis points of gross loans as of Q4 compared with 47 basis points at the end of Q3 and 44 basis points at the end of Q4 2019. The allowance specific to Stage 3 loans is 15% of the total. As Home has security in the form of real property or cash deposits for most of the Stage 3 loan portfolio, we consider this coverage level to be prudent.  Our liquidity and capital metrics are on Slide 19. We continue to hold over $1.3 billion in high quality liquid assets with access to additional short-term funding as needed. Our CET1 capital ratio of 19.82% at the end of Q4 increased by 47 basis points in the quarter and 218 basis points for the year-to-date. This is after accounting for transitional arrangements, which allow for a portion of certain credit allowances to be classified within CET1, rather than CET2 capital. This transitional arrangement added 10 basis points to our CET1. The increase in our CET1 was due to internally generated capital, which more than offset the decrease in capital from $150 million substantial issuer bid completed in January and our NCIB activity during the year. We will continue to be prudent in our capital management decisions in any the economic conditions.  And now, I will turn the call back to Yousry for closing remarks. 
Yousry Bissada: Thank you, Brad. When the initial lockdown was announced back in Q1, it was difficult to forecast what the eventual impact would be on our industry and our people. But we entered this pandemic with all the elements we needed to ensure our resilience in any conditions. We had ample reserves of capital and liquidity that we could put to good use to support the recovery efforts. We've had our sustainable risk culture to ensure a prudent risk management in all scenarios and above all the resilience of our company is due to the strength of the Home team. I thank them for their extraordinary achievements in 2020.  And I thank you all for your participation on today's call. I will now ask Cindy to poll some questions. 
Operator: [Operator Instructions] Your first question comes from Geoff Kwan with RBC Capital Markets. 
Geoffrey Kwan: Hi, good morning. My first question is, just any insights you have in terms of how the spring housing market is shaping up. And just in general, we’ve obviously seen elevated levels of housing activity coming out of the pandemic. Just would your crystal ball suggest that how much longer we’re likely to see the elevated housing activity? 
Yousry Bissada: Thanks, Geoff. My crystal ball has been wrong so much in the last year, but I can best tell you based on momentum so far, it seems that it's going to be a strong spring market, it's not the technical spring market starts in February. What appears to still be low, at least in [GTA] is the number of listings, but the market appears to be hot and there's a lot of buyers is our initial impressions. How long it will last? I'm unsure. 
Geoffrey Kwan: Okay. With respect to the NIM yields, if you can -- like what's your expectation or how you're looking at the NIM yields evolving over the next several quarters in relation to your prime, your Classic as well as in the commercial book? 
Yousry Bissada : Brad? 
Brad Kotush: Geoff, I think, we've seen a pretty stable or positive trend for the past few quarters and we expect that we'll be able to maintain that if interest rates remain at their current levels obviously subject to competitive condition.
Geoffrey Kwan: Okay. And just my last question was on the compensation expense. It was up I think about $6 million quarter-over-quarter. Just wanted to get some color into that, the quarter-over-quarter increase?
Yousry Bissada: Yes, sure, Geoff. Usually in Q4 we’ll do some true-ups for annual compensation expense items. You would have seen that increase in last year as well over the run rate. We've also added in employees over the quarter. The annual average was 755 from where we were around 760 or more. We think that we're going to have a slightly higher compensation expenses here, probably more in the closer to $26 million a quarter on average through 2021. 
Operator: Your next question comes from Stephen Boland with Raymond James.
Stephen Boland: Good morning, everyone. Maybe, Brad, if I could start with you and the provision. If you could remind me, when you set up the main provision back at the end of -- I think it was Q1, the $30 million, was there a timeframe that that's modeled out to, like was it a 12 month outlook or an 18 month outlook? And I'm just trying to gauge the pace of releases that could be coming over the next quarter or two?
Brad Kotush: Well, effectively the provisioning is done over the life of the loans or expected life of the loan. So probability of default varies depending on the length of time. And we typically look out with some of that economic forecasting for the next year. But it’s done over the probability of default over the life of the loans depending on the aging. 
Stephen Boland: Okay. But most of the -- most of your loans I presume are like one, two, three years, is that what you’re talking about?
Brad Kotush: Yes, I think that’s the fair assumption. I mean all the Stage 1 is done on a one year basis. So, yes, I guess to directly answer your question, the term of that forecasting is generally for one-year period.
Stephen Boland: Okay. And you mentioned -- you seem cautious on the outlook of -- the housing market is certainly strong and seeing the multiple bids and house is going over-asking. Are you -- do you get concerned again about the -- you typically pull back your loan-to-values when you thought that certain areas of the market were getting too hot, is that starting to play into your thoughts here heading into the spring? 
Yousry Bissada: Well, we're not concerned because we do one deal at a time. We will look at the circumstances of that particular situation and the mortgage before saying yes or no, which will take into account activity in the area and price adjustments and so on. But at the same time, the activity seems to continue to be strong and people rethinking where they're going to live and with the low interest rates that are there. So, we would probably relax some of our loan-to-value ratios as you suggested. To be more clear, when this started, we got more conservative in certain areas on our loan-to-value, we would probably look at that only when we felt the economy was coming back and that it was prudent to do so. So like everyone else, we are waiting to see the full effects of the lockdown on the economy as well as the vaccine effectiveness and so on.
Operator: Your next question comes from Jaeme Gloyn with National Bank Financial.
Jaeme Gloyn: Yes. Thanks. A couple of questions here just to run through the -- I noticed there was a sale of residential mortgages in Q4. Can you give us a little bit more color as to what's the strategy here, where you see the size going to and maybe some income expectations around this strategy to sell mortgages?
Yousry Bissada: Hi Jaeme, we had -- we’ve just begun the program in the Q4. We did not sell a significant amount of mortgages. We do expect that over time we can grow it. We want to see what kind of traction we can get. We anticipate probably doing in the order of $25 million this first quarter. But we think that there's lots of room to expand that program. And part of it is to be able to continue to grow our loans under administration, while not taking loans off balance sheet.
Jaeme Gloyn: Okay. And are you able to give us any sort of income guidance around that, like what kind of fees are you receiving to…?
Yousry Bissada: I think we'll be able to give you a much -- sorry to interrupt you. But I think we'll be able to give you a much better idea of what the potential can be when we report Q1. As I said earlier, we're just beginning this program. And we're trying to establish what we can get as an effective run-rate before it would make sense to provide any sort of outlook in that respect.
Jaeme Gloyn: Sounds good. In the RMBS portfolio, I noticed there was a spike in interest expenses in Q4. Can you talk about what's going on there?
Yousry Bissada: I'll get back to you, Jaeme. I don't have [answer for you] right now.
Jaeme Gloyn: Okay. And I apologize if you addressed in the prepared remarks. The increase in single-family net impaired loans, looks like it was pretty significant quarter-over-quarter and year-over-year. Can you talk about what was driving that increase in single-family net impaired loans?
Yousry Bissada: Overall, I think general economic conditions are, some of our borrowers have been impacted by COVID-19. In addition, we weren't able to -- all the collection proceedings were suspended. So in the ordinary course of business, we weren't able to realize on security. So that also had a contribution to the increase.
Jaeme Gloyn: Okay. So just to follow up on that then. So, if I understand correctly, the underlying characteristics of specific borrowers has deteriorated, and so that caused some impairment in the loans. At the same time that because you suspended collections or foreclosure processes, your ability to realize upon, I guess defaulted loans, is imperative. So this is -- should we look at this as being a temporary number that would sort of clear in Q1 or Q2, like how should I think about that? 
Yousry Bissada: Well, I think, we've grown that portfolio as well. So we'd expect that it -- and I agree that, that has increased as an overall percentage. We had -- the overall coverage ratio on that Stage 3 was close to 12% this quarter. And last year, it was 12.75%. So, we've seen a pandemic when, as I think, as you mentioned, we have had some borrowers who have gone into default or into Stage 3. And I probably emphasize, probably that condition more. We'll see any major, further movement, but again, that's going to depend on the way the economic circumstances unfold. So I think that's probably more of a factor than the ordinary course of collection activities, which should they resume will moderate that balance somewhat. But I think overall, it's more economic conditions as opposed to delays in collection proceedings. 
Brad Kotush: Jaeme, just to be -- I think you noticed but just to be clear. Part of our delays is because the courts are closed and they have announced that they may restart opening them over the next couple of weeks. So, we do expect part of that will normalize as either the client sells their home because the LTVs are getting quite good for them and/or we have options that we’ll open to response to courts. 
Jaeme Gloyn: Okay. And so, yes, when I look at that net impaired loan, and we should see that sort of begin to clear as that opens up a little bit. Okay, that's good. And just one last one from my end. If I'm looking at the other consumer retail loans, mortgage continuity table, there were no advances and draw downs. Is that like a signal that this is a complete shutdown of anything going on in other consumer retail loans or is there something else we should think about there? 
Yousry Bissada: Yes, we've stated that we've effectively stopped originations in that category. So it’s effectively in run-off. 
Operator: Your next question comes from Étienne Ricard with BMO Capital Markets. 
Étienne Ricard: First on the loan growth outlook. When we looking to the Classic portfolio, in particular, you've seen originations picking up quite nicely, although the loan balances remain flat year-over-year. I’d just like to get an update on competitive dynamics and how has your attrition rate trended in the recent quarters? 
Brad Kotush: I can answer that. So there's a number of dynamics as we suggested. First is, we got more conservative when the lockdown started last March. We got more conservative in certain regions and in other regions we pulled back the maximum LTV, we will do. So even with that, we increased our originations on Classic and we would have increased it even more have we been more relaxed. So that is one for sure. On the competition, there is a few players that are in the Alt-A space. I think we've also had good volumes. We continue to be number one lender in Alt-As and we are proud of that. In one subsection, the private lenders, some have continued to do well and others seem to be doing less business. I don't know exactly why maybe they’re funding or maybe they're taking a more prudent approach. But the main competition from us remains financial institutions that have interest in Alt-A. There's only one or two large ones like ours and there's a lot much smaller ones participating in the space. 
Étienne Ricard: Switching to the -- on the funding side, you continue to -- you’ve seen good momentum at Oaken. Could you remind us how significant that channel could become as a percentage of total deposits and -- over the next couple years and what is the associated impact on cost of funding delta to the broker market?
Yousry Bissada: So over a two, three, four year period, we would want to get it to the 40% to 50% range of our total deposits, Oaken. Oaken has many advantages for us. There is much stronger customer loyalty upon renewal. Having a direct relationship with the consumer has many advantages. When we compare Oaken to overall deposit broker, when you compare what we've got to pay commissions to broker versus our cost of running Oaken and the ads and so on, it's about 20 basis points to 30 basis points more on average. But that is a value to us, because the retention is much higher. So over a longer period of time, that tends to close the gap, because we can keep them. So it'll continue to be an important part of our brand. And this year, in particular Oaken did very well by -- as I mentioned in my comments, by going digital and allowing consumers to buy and check and renew digitally. There have been a number of improvements made in the Oaken that make it very easy for a customer to deal with us from their home.
Étienne Ricard: One last for me. On the RMBS markets, how has market appetite changed? And would you expect it to become more return source of funding over the short-term?
Brad Kotush: It's Brad. We have seen stabilization in the overall market. And we do you expect to come to market in the first half of this year.
Operator: Your next question comes from Cihan Tuncay with Stifel.
Cihan Tuncay : Most of my questions have been answered already. But maybe we can get -- Yousry, you mentioned that housing activity remains very strong. Can you give us a read through on how your asset yields are holding in and kind of how funding costs have trended throughout kind of first, two months of the quarter? 
Yousry Bissada: Yes -- hi, Cihan by the way. The funding costs have been healthy for us. I think, what happened in the second quarter of 2020 when the Bank of Canada dropped rates fairly rapidly to offset what was happening in the economy, over a few weeks, the GIC rates followed them and widened our spreads to mortgages. Over the year, the mortgage rate has come down, our competitors’ as well as ourselves have come down and brought the margins a little closer to normal, but still healthy and we're able to keep our rates competitive yet. We're not the cheapest guys in town. We compete as you've heard me say before a lot on our service and relationships and education. So the -- I think the markets for now are healthy. There is more competition in this space. There can and tend to be one or two that are trying to buy market share in this price, which can be a short-term okay. But in the Alt-A space, there's much more to it than just rates, it is the complexity of the deal and understanding the risks within that deal. And so that helps from the A business where you might get somebody just going on rate. There has been very low rates, 139, 159 on the A side that are very commodity. It is a very, very basic mortgage. And as long as you qualify, you can have it, but in the Alt-A side, there's a lot more complexity, where is the mortgage link come through. So it tends to lead at a little more normal spread. I think our competitors and us do a lot more work to do that. So we require the spread to be successful. 
Cihan Tuncay: May be just dig into a little bit more detail there. You talk about -- you just mentioned you’re looking to come to market for another RMBS issue in the first half of this year. And as well as new initiatives to increase your Oaken deposits in your overall deposit book. If we think then of, your NIM, Q4 pretty was pretty strong. Is that sustainable over the course of the year, or do you think there will be some volatility there? Or how should we think about that going forward? 
Yousry Bissada: Well, I think that -- yes, the big assumption into all this, there is no movement either in the government rates as well as some consistent competition on the -- for broker deposits, as well as on the asset side. So if all of those sort of stay similar to where they are today, then we expect that we will be able to maintain NIM at current levels, probably certainly in Q1 and that's kind of where we have sight to or some confidence there.
Cihan Tuncay: And just with respect to the Oaken branches, it looks like you've got good growth in internally sourced deposits, although there isn't that many, how do you think about the strategy of having physical locations now in this post-pandemic world going forward and what’s the outlook there?
Yousry Bissada: We think it'll still be important, Cihan, a large number of our clients are over the age of 50, and they still value coming into the branch and the relationship in being able to do that. Like everyone else, they pivoted and -- to using digital to continue to deal with us. But we had in the last year certain branches would open and close again in Toronto, in Vancouver and Calgary, they're still open. And it was our first test to see what happens when the branch opens, and it got very busy, even with social distancing and lockdowns. And so we believe that it is going to continue to be an important part of the Oaken service. But now we've even added digital, so that we will have more ability to do so. So there's still a certain amount of clients that value these relationships and trust and then those who want to deal with us digitally, we've made ourselves much better than the last year for them. 
Cihan Tuncay: Okay. Just one more question for me. Both operation and organic growth opportunities sound quite strong going into this year. How do you think about maybe more strategic decisions longer term? Have you evaluated any acquisitions or potential new verticals or proactive acquisitions to boost the mortgage business? How do you think of those from a strategic perspective kind of beyond this year over the next three to five years, any inorganic growth opportunities? 
Yousry Bissada: Yes, we are very focused on our foundation and building the company to be stronger and stronger. I mentioned, Ignite, and building our technology. We're not complete. We're about halfway through what we want to achieve there. It allows us to be more digitally competitive, to be more data management competitive, CRM competitive. This updates Home on many, many levels. So that's our focus. But if some opportunity came up, that was on strategy and made sense, we would look for sure, I don't think anybody wouldn't look if it didn't make sense. I think we're in a good position and our capital base allows us lots of options. If something that was accretive, it would be chance for us. And if not, we have the opportunity to give capital back to our shareholders. So when a good seat in terms of those, that’s our process. 
Operator: [Operator Instructions] And your next question comes from Graham Ryding from TD Securities. 
Graham Ryding: Just following on that last topic with Ignite. I think from the adjustments to your expense, I think maybe going for a couple years now. Should we expect adjustments to continue for another couple of years or what's the outlook there with sort of Ignite related adjustments? 
Yousry Bissada: Graham, we expect this fiscal year will be the last year when we'll be making those adjustments. 
Graham Ryding: And then on the sort of the ECL modeling and whatnot, is there any sort of material changes year-to-date relative to some of the key HPI and employment inputs that you would have put in as of December 31 that you'd want to flag or could flag for us? 
Yousry Bissada: Well, I -- again, it's all subject to significant volatility but we have so far seen improvements in the HPI forecasts as well as unemployment measures. 
Graham Ryding: I think there was obviously a bit of a decline in the sort of employment picture just at the year-end but it sounds like offsetting is the outlook for employment, it is actually a little bit better since then. Is that fair to say?
Yousry Bissada: Yes, I guess I’d just leave you with it that it's volatile. And -- but -- so far we've seen improvements. 
Graham Ryding: And then my last question, just the -- I appreciate the -- on one of the slides you gave the FICO score. Is that for your total residential book, i.e., your Accelerator and your Classic? And if so, what would it be for just your uninsured single-family or your Classic portfolio? Has that FICO score changed at all over 2020?
Yousry Bissada: Sorry, Brad and I are remote, I was -- I don't have that handy. I don't know if you do Brad, we can look into it. 
Brad Kotush: I don't have it handy too. We'll get back to you. 
Operator: The next question comes from Stephen Boland with Raymond James. 
Stephen Boland: So, just one follow-up for Brad. Just on your Tier 1 capital ratio. Maybe the highest we've seen now in a couple of years. I know things are not normal with buybacks and dividends and things of that sort. But when things do normalize, what capital level or Tier 1 would you like to be running at? Or what do you think you'd like to get down to? 
Brad Kotush: We've operated over the past -- looking back between 15% to 17%. So, yes, that’s probably a run rate that we could get to over time. 
Operator: I'm showing no further questions at this time. I would like to turn the call back to CEO, Yousry Bissada.
Yousry Bissada: Thank you, Cindy. Thank you, everyone, for joining us. Stay safe. And we look forward to seeing you live in the near future.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.